Operator: Thank you for standing by, ladies and gentlemen. Welcome to Tsakos Energy Navigation Conference Call on the Fourth Quarter 2016 Financial Results. We have with us Mr. Nikolas Tsakos, President and CEO; Mr. Paul Durham, Chief Financial Officer; and Mr. George Saroglou, Chief Operating Officer of the company. [Operator Instructions] I must advise you that this conference is being recorded today and I now pass the floor to Mr. Nicolas Bornozis, President of Capital Link, Investor Relations Advisor of Tsakos Energy Navigation. Please go ahead, sir.
Nicolas Bornozis: Thank you very much and good morning to all of our participants. This is Nicolas Bornozis of Capital Link, Investor Relations Advisor to Tsakos Energy Navigation. This morning, the company publicly released its financial results for the fourth quarter and full year 2016. In case you do not have a copy of today’s earnings release, please call us at 212-661-7566 or e-mail us at ten@capitallink.com and we will e-mail a copy to you right away. Please note that parallel to today’s conference call, there is also a live audio and slide webcast, which can be accessed on the company’s website on the front page at www.tenn.gr. The conference call will follow the presentation slides, so please, we urge you to access the presentation on the webcast on the website. Please note that the slides of the webcast will be available as an archive on the company’s website after the conference call. Also, please note that the slides of the webcast presentation are user controlled and that means that by clicking on the proper button, you can move to the next or to the previous slide on your own. At this time, I would like to read the Safe Harbor statement. This conference call and slide presentation of the webcast contains certain forward-looking statements within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that such forward-looking statements involve risks and uncertainties which may affect TEN’s business prospects and results of operations. Such risks are more fully disclosed in TEN’s filings with the Securities and Exchange Commission. Ladies and gentlemen, at this point, I would like to turn the call over to Mr. Nikolas Tsakos, President and CEO of Tsakos Energy Navigation. And Mr. Tsakos is also Chairman of INTERTANKO. Mr. Tsakos, please go ahead, sir.
Nikolas Tsakos: Thank you, Nicolas and good morning or good afternoon to all of you. Happy St. Patrick’s Day. Drive safely and drink responsibly. This is our logo in INTERTANKO is build responsibly. So, I think it’s a good day to be in the green today and we would like to thank you for participating in our year end and fourth quarter results, another year on our 24-year history, another year on building on success and profitability. We are looking to many more into much more profitable going forward. 2016 has been a very exciting year for us. It’s been the year that we have laid the foundation for TEN’s new phase or next phase, which has to do with building state-of-the-art fleet, 15 new vessels, 1 option, and all of those ships on long-term charters. So far, we have taken delivery, including in the first quarter of 2017, 11 of those vessels with very accretive charters that are contributing significantly to our bottom line, 4 more vessels to be delivered in April, July and then in September and December. And then after that, we will enter in the next year, 2018, with a full force with our whole program as designed and all the vessels earning very accretive rates and making sure that the company can maintain its profitability. With this, I would like to thank all of our onshore and offshore personnel and our design team – newbuilding design team, our chartering, our technical managers that have been able to achieve such a Herculean task of building in two different continents state-of-the-art vessels and all of them being delivered without a single days of delay. And I think for those that are very involved with the nitty-gritty of shipping, you understand how important that is to be able not to lose a single day of employment, not to risk any of your long and accretive charters because of delays. We are very proud of that factor. And I think our continuous utilization in excess of 95%, I think the last – for 2016, it was 98%, is another very important milestone to why this company has been able to maintain profitability for so long. And with that, I will ask George Saroglou to give us the developments of 2016 and recent developments for 2017.
George Saroglou: Thank you, Nikolas. The company reported today another profitable quarter and year end results. 2016 was a landmark year for TEN, as the company embarked in the largest growth program since inception in 1993 with 15 newbuilding vessels plus 1 option. We took delivery of 8 vessels during 2016. All delivered vessels had medium to long-term employment attached to first class charters. Taking delivery of the remaining newbuilding vessels continues unabated during 2017. All 2017 deliveries are also fixed on medium to long-term time charters that range from minimum 1.5 years to up to 12 years for 6 of the 7 vessels. For those of you who are connected to the internet and our website, there is an online slide presentation whose format we will follow during the call. Let’s turn to Slide #3 that contains the key corporate highlights. TEN has currently a pro forma fleet of 65 vessels. We have 61 vessels currently in operation and 25 vessels from the fleet have highest class capabilities. The average age of the corporate fleet is 7.5 years versus 10 years for the world tanker fleet. We have a balanced employment strategy that take advantage of market peaks with profit-sharing arrangements. Currently, 43 vessels are on secured employment with added time charter tenure of 2.7 years. We have minimum – as a result, we have minimum contracted secured revenue of $1.4 billion with potential additional revenues from profit-sharing arrangements. The fleet is modern, diversified covering client transportation requirements include products, shuttle and LNG. We are very high and efficient operator with consistent high fleet utilization and as has been reported to-date, 98% for the last quarter. The next slide is the main financial highlights of the press release which Paul will present in more detail. I would like to just highlight the profitability and the company’s strong financial position. The next slide again is a picture of the fleet. We operate 61 vessels in four market sectors. During the fourth quarter of ‘16, we took delivery of the company’s second LNG carrier the Maria Energy and 2 Aframax tankers, Leontios H and Parthenon TS. Overall, in addition to the 8 newbuilding delivery vessel, TEN acquired 2 modern Suezmaxes during last year. All newbuilding vessels were delivered with long employment attached ranging from 3 to 12 years, including charter renewal options. During the first quarter of 2017, we took delivery of VLCC Hercules 1, Aframax tanker, Marathon TS and the company’s self shuttle tanker, Lisboa, which are also all employed under long-time charters. We expect 4 more Aframax tankers to be delivered until the end of the fourth quarter of this year. Again, all these vessels are fully financed and fixed on long-time charters. The next slide shows the clients of TEN, all blue-chip names, with whom the company is doing repeat business over the years. Thanks to the quality of service, fleet modernity and the safety record of the enterprise fleet. Strong secured coverage, thanks to the mixed – the balanced employment strategy as 47 vessels out of the 65 vessels in the pro forma fleet are fixed under secured revenue contracts through a combination of time charters, time charter with profit sharing and CoAs. Out of the 47 vessels, 29 are market related charters, including spots securing the company’s ability to immediately capture the market’s upside. The breakeven caught for the various vessel types is on Slide 8 and of course as you can see, is very low as we have built most of the fleet before the significant rise of newbuilding prices. The purchasing power of Tsakos Columbia Shipmanagement and the stringent cost control by management is reducing the fleet operating expenses levels and this should also be highlighted. 63% of the remaining fleet available days of 2017 are on secured revenue contract. And as you can see, in addition, thanks to the combination of spot profit sharing arrangement and CoAs, TEN is guaranteed a share of the market upside when that thing takes place. What we see in the market’s global oil demand continues to grow above past trend growth levels. The average oil demand growth levels since 1990 has been 1.1 million barrels per day. In 2016, oil demand grew 1.6 million barrels per day. The forecast for oil demand growth in 2017 is 1.4 million barrels per day, again a growth number above the trend line. Lower oil prices continued to support strong demand especially in the United States and China, a combination of consumer demand and stockpiling for strategic reserves and obviously, India. This led to upward revisions of global oil demand by various agencies, including the International Energy Agency, while they reported the oil market during the year. We hope and expect for this trend to continue during this year as well. The order book is coming down as we can see with the bulk of the newbuilding orders expected to be delivered until the end of the first half of this year. However, a big part of the existing tanker fleet is over 15 years. The implementation of new regulations with high compliance course and charter discrimination against all the tonnage could lead to an increase in staffing. We should note that Far Eastern shipyards are restructuring and therefore, reduced capacity, while available bank finance is very selective and shrinking. We have seen no significant orders after 2018, which should be positive for freight rates and the start of another up-cycle for tankers. We announced today our next dividend of $0.05 per share to be paid on April 28 to shareholders of record on April 25. In total, since 2002, TEN paid $10.46 in cash dividends or approximately $445 million. And this compares with a listing price in our IPO of $7.50. The average yield since the IPO is $5.25 per annum. That concludes the operational part of our presentation. Paul will walk you through the financial highlights of the third – fourth quarter and the year. Paul?
Paul Durham: Thank you, George. I guess, you all have in front of you or have seen the financial datasheet that came with the press release. So I will just go through a number of bullet points now. First of all, TEN achieved a Q4 net income of almost $12 million in a market that was moderately better than in Q3. Net income for the year was a strong $56 million. An upturn in rates in quarter four, more than welcome, was too late and too small to impact total revenue. However, our vessels remain fully employed at a remarkable 98% productivity. And clearly, the addition of nine new vessels before and during the quarter, helped with the contribution of $15 million to revenue. Tanker demand remained relatively buoyant, but excess tanker capacity squeezed rates. Nevertheless, the annual average rate was $20,400, a respectable rate given the overall lackluster market. Now aframaxes achieved average day TCE rates of $19,600 and our suezmaxes $23,600. Product carrier rates fell although Panamax rates were higher due to attractive time charters starting in the year. The quarter four revenue of the LNG carrier, Neo Energy was $6 million, down from the previous fourth quarter due to charter expiring and repositioning. Both LNG carriers are now fixed on long-term employment with earnings covering operating costs. Both are expected to secure more favorable contracts within the next 18 months. Daily average OpEx per vessel remained low at $7,600 in Q4. And for the year, daily OpEx per vessel fell by 2% to $7,800. Increases in finance costs in the quarter and in the year were mainly due to new debt from newbuilding program, offset a by positive bunker hedge evaluation. In Q4, outstanding debt increased by $177 million, mainly as a result of new deliveries. Net debt to capital was 52.5%. At the end of 2016, there were seven new vessels still to be delivered with $274 million to be paid. Three of these vessels are now being delivered. For the remaining four, $95 million is covered by a range debt and $39 million will be paid from cash. And finally, with about 40 vessels on time charter in quarter one with a secured cash flow and recent positive market indications, we all have a growing confidence for TEN in 2017 and the following quarters and well beyond. And that concludes my comments. And now I will turn the call back to Niko.
Nikolas Tsakos: Thank you, Paul. And now I hope that the good news will continue to come. Thank you very much. Well, I think as Paul and George mentioned 2016 has been a very formative year for the development of the company, a lot – a new phase of the company much more industrial shipping. As we speak today, we have 200 years of forward employment. And I hope we will be all around to enjoy those 200 years. That is a staggering figure, which is about close to 5 years for all our ships for long-term employment on average and 2.7 years for the whole fleet. So if we decided to stop all our vessels from the spot market today, they would still operate – still have business for 2.5 years fixed. But I think those 200 years is something that we are looking to grow. We are a company that we look at ourselves as an industrial shipping company rather than a – we do not criticize any others, every company have their own strategies. Our strategy is to have a longer term business and actually, to add on top of that, by having a significant period of either profit sharing or spot exposure. We are looking at first quarter that started bumpy. I would say it took a while for people to get over their New Year’s – our Western New Year’s hangover which was then added up to the Chinese New Year’s period. But since then, the market started coming back. And what we are seeing is I would say, the system markets, the tankers, which is the dry cargo market, has been bouncing on the bottom for a very long period of time. And in the recent month, we have seen values and that market turning a corner too. So things are looking more positive for shipping in general, the oversupply that I think we have self-inflicted all of oversupply is being absorbed in the market. And we hope that 2017 will be a stronger year than 2016. And then 2018, where there is really very little supply of new ships coming in and a lot of regulation, as you all know with the water ballast changes as of September and with the shocks and the scrubber discussion about fuel oil. We’re going to have again another reason for older ships to be out of the market. So with this positive note, we would like to open the floor to any questions. Thank you very much.
Operator: Thank you very much, sir. [Operator Instructions] And your first question comes from Jon Chappell from Evercore. Jon, your line is open.
Jon Chappell: Thank you. Good afternoon, guys. George and Nik, I wanted to ask about some of the commentary in the press release. So it sounds like you want to sign-up more of the fleet that’s not contracted already on some long-term contracts. However, there is also a lot of optimism and also Nik’s just recent comments too about 2018. Obviously, ‘17 is going to be difficult. So, how are you thinking about balancing too much fixed rate coverage at the bottom of the cycle versus keeping some of your exposure for when the market inevitably does turn up?
Nikolas Tsakos: Well, I think this is a very good point and it’s a balance that we always try. And as you know a significant amount, about one-third of our chartered vessels today are in profit-sharing arrangements. And just recently, 2 weeks ago, we chartered XCR for one of our newbuilding VLCCs with that in mind. So, the vessel has a minimum that covers its breakeven and then significant upside 100% going to us as owners. If the market skyrockets then we will be happy to share the upside with our clients. So, these are the type of businesses we are looking. We are very proud of our utilization rate of always being in excess of 95%. I think if you go back to your records, you will see that even in the worst market conditions of ‘11, ‘12 and ‘13, we still maintain the very high utilization rate because of this model. So whereas we want to secure the company’s long-term health and healthy balance sheet, we don’t want to sacrifice the upside. That’s why we would like to have the profit-sharing arrangements and still maintain a significant part of the fleet on the spot market.
Jon Chappell: Okay. And then also kind of along the same lines of the balance, you spoke on the balance and the press release about looking for opportunities which we have heard from a lot of companies obviously asset values are approaching multiyear lows and people want to be able to play offense at a time when the market is weak versus also you talked about selling some of your older vessels that may not fit into the core strategy longer term. So just do you need to dispose of some of the older assets to get the liquidity then to be aggressive on purchasing other ships or do you feel like you have the liquidity today to play offense in the market without any disposals?
Nikolas Tsakos: Well, it is not a matter of – I think the older ships are actual cash cows. So, there are ships that we build ourselves, they were maintained and they are ships that because they have been depreciated over a much longer period of time and because their debt has been repaid to very low levels, they are, as we say, cash cows. So, we love to have the older ships along. But of course, we are facing the fact that we would like the company to maintain its profile of 7 years. I think that’s what these are other dates. We want to maintain a young profile. So that would be the only reason that would be selling older ships. The company has the capacity to participate. I mean, we are now in the final part of a huge expansion. We are a company that we are completely against and where INTERTANKO had also speculative new buildings. So we are not looking to go and order any ships without employment. We are there to buy ships in the second market if values are attractive, but I think right now, we are quite full with business that is coming.
Jon Chappell: Okay, that makes sense, Nik. Two quick ones for Paul. Paul, what’s the debt amortization schedule look like for 2017?
Paul Durham: 2017, we have about $116 million of scheduled repayments. We have balloon. But those balloons we believe will be refinanced 100%. So, you can eliminate that factor. We are in discussion already – already in discussion our banks with whom we have great relationships are always knocking on our door asking if they can participate in refinancing our debt. So, we don’t have the problem in that respect.
Jon Chappell: Okay. And then just to be clear, that $160 million does that include any of balloons or the $160 million is amortization that has balloons on top of that?
Paul Durham: I mean, that’s straight scheduled payments before balloon.
Jon Chappell: Okay. And then finally quick one, there is a press release last week or maybe earlier this week on the Hercules but not a lot of detail surrounding that. Is there any way you can provide the rate associated with that ship?
Nikolas Tsakos: We try to give you information without being criticized of industrial espionage, which is becoming very popular now around the world. So, what I can say is that the vessel is covering here all-in costs as a minimum rate. And this is – I think this is a very responsible way to run industrial shipping, because we often criticize our clients so that they are not paying for quality and chartering ships that can cover their all-in breakeven costs and then selling the upside is something. So as you know, because we try to buy ships that are at the low side, things are only breakevens are quite competitive. I think George has a slide in there where you see that the VLCCs. And above that, we have profit share. So, it is – it’s a good range that keeps the company always in the black and gives us an upside.
Jon Chappell: Okay. Thanks, Nik. Thanks, Paul.
Operator: Thank you. Your next question comes from Noah Parquette from JPMorgan. Noah, your line is open.
Noah Parquette: I just wanted to ask. One thing has been – that was brought up in the past when drybulk was kind of more troubled, was that private owners with mix fleets were being hurt by the drybulk sector on the tanker side. Do you guys see any pass-through from what’s going on in drybulk now to the tanker side?
Nikolas Tsakos: I think the drybulk markets and the tanker markets are related. And we believe there is a lag usually of 6 to 9 months between the markets, usually the dry cargo market being an inventory market is the one that starts moving first creating increasing in the inventories and then the energies required to develop this inventory. So, that’s why we couldn’t believe that by the fourth quarter, the tanker market will have even stronger sign. So no, we see the market fluctuating from strength right now.
Noah Parquette: Okay. And then just really quick just having discussions on new orders, I know you say you don’t want to do any speculative ones. But can you let us know when the earliest delivery date you could get on order would be?
Nikolas Tsakos: I think we could say today you could see end of perhaps early ‘19 orders.
Noah Parquette: Okay, that’s all I have. Thanks.
Nikolas Tsakos: Thank you.
Operator: Thank you. Your next question comes from Ben Nolan from Stifel. Ben, your line is open.
Ben Nolan: Yes, thanks. So, with respect to sort of potential projects and orders, I was curious if really maybe two things. At the moment, what is the appetite for these type of longer term contracts and industrial type situation? Is there much to be done in terms of new charters that do have long-term 5 plus year durations? And then within that, could you maybe talk to what areas of the market, be it wherever the shell tanker business or the regular tankers or LNG or whatever, where you guys are really focusing most of your incremental attention?
Nikolas Tsakos: Well, I think today, there is significant amount of business as you call it and we call it, industrial shipping and it ranges from the product carriers to very large vessels – very, very large vessels. And so it is always client-oriented. But the business is there for 7, 10, 12 years employment. I have to say we are not trying to blow our own horn with this. This business it does not appear in the open market for every tanker company out there. I think there is a peer group of half a dozen companies that are out there, tanker companies with very good names, the majority of them public that are shown in this business. Many of those companies are not interested in this type of business because they want to focus on the spot market. But we are a long-term traditional owner with a 50-year history within the group. So we are always interested in developing relationships. So it’s not something that you will call your broker up and you will find it out. It’s by appointment too, I would say, handful or half a dozen or a dozen maximum companies that fit the profile for long business.
Ben Nolan: Okay. But those conversations are happening even today, correct?
Nikolas Tsakos: They are happening in – yes, they are happening more and more, I would say, in the last year. Yes.
Ben Nolan: Okay. And getting back to the other part, any areas of specific focus for you, I mean, other than putting contracts on maybe finding long-term contracts on some of your existing vessels incrementally? Are people looking for more – whatever shuttle tankers, LNG, anything specifically that you would need to add?
Nikolas Tsakos: There is a demand – there is a huge demand for LNG, as you know, because it’s an immature business. Shuttle tankers is not so popular in the last 2 years just because it’s considered part of the offshore market and people are not – oil companies are not interested in shuttle – in the shuttle business that much because there is a lot, as you know, a lot of the fields and the wells had been laid up and there is a lot of shuttle tankers running around. So, I would say, shuttle tankers is not a very popular situation, but then anything above from highest class, super highest class vessels, etcetera, etcetera.
Ben Nolan: Okay. Alright, very good. Thank you.
Operator: Thank you. And your next question comes from Mike Webber from Wells Fargo. Mike, your line is open.
Donald Bogden: Hey, guys. This is Donald Bogden stepping in for Mike. How are you? I just wanted to ask a question on shipyard capacity. I mean, obviously there has been a theme on a general rationalization and capacity for the past couple of quarters. But I am trying to dig into whether the current offering price for shipyards and whether it’s the VLC or MR is competitive compared to the resale market, especially given some of the recent very low resell trends we have seen in the last month or so?
George Saroglou: Hi, this is George. Well, I mean, we have seen a lot from the extremes of the previous up-cycle. We have seen a lot of these shipyard startups, greenfields or even established yards going through significant restructuring and at the end of the day, reduction in the slots – the availability of slots. As we also said, the lack of finance is also helping reduce the speculative appetite of owners that could – looking at opportunities with steel prices and asset prices being down. They have come down asset prices. But as we said, the lack of mainly of ship finance has really killed any appetite to put any speculative orders out there, especially in, let’s say, the level that we have seen in the previous up-cycle.
Donald Bogden: Okay. And then just a follow-up, do you think there is sort of a – is there a spread there between a resale and a new order that could potentially prevent incremental orders in the near-term, especially given sort of that $77.5 million data point we saw in a VLCC recently? Can yards – where do you think the breakeven level for some of these large crane yards is on a VLCC and how low can that fall, so to speak?
George Saroglou: Well, I mean – we don’t think that there is – prices can be pressed significantly from the current levels that we see. Also, let’s not forget that we have seen the recent peak of the market has been in 2015. We have had – 2016 has been a good year, but rates have come down from the peaks of 2015. 2017, because of the additional orders, the bulk of the order book that will be delivered throughout the year is expected to be even a little bit softer than last year, unless again global oil demand surprise us pleasantly. Therefore, I don’t think that people have the appetite to go out, invest in speculation, try their embarking newbuilding orders are also on secondhand vessels.
Nikolas Tsakos: [indiscernible] we are looking at the majority of the Korean yards, which are the bulk of the newbuilding capacity, are now owned by the banks. The banks are not doing business to lose money, not for a very long time. So they are not there to subsidize loss-making transactions. You will see some re-sales going for the low prices that you mentioned, but we expect the prices to turnaround because a majority of the Korean bulks or all the Korean yards are not going to be subsidized.
Donald Bogden: Okay. Thank you for that color, guys. Take care.
Operator: Thank you. Your next question comes from Spiro Dounis from UBS Securities. Spiro, your line is open.
Spiro Dounis: Hey, good morning guys. Just wanted to follow-up on that last question response, I guess, we have seen a flurry of new ordering recently lately specifically in the larger vessel classes. Just wondering what do you think is actually driving that sudden surge? It seems odd just given the spread between second hand tonnage pricing and newbuild pricing that you will be placing orders right now. Is there anything specific that you are seeing that would explain why certainly we are seeing these orders again?
Nikolas Tsakos: I think there might be owners. First of all, it’s not a huge amount of ordering. And there is a big difference between a Letter of Intent and actual ordering. So I am sure that there are a lot of letter of intents have been presented around the market, which usually take -- really gives a yard and an owner a 3 months engagement dating period before they decide to tie the knot. So I think the majority of what you are seeing is engagements rather than actual tying the knot situations and that’s what I understand. We had a flurry of re-sales in the beginning of the year. Ships that were built by others were bought. But I am not sure we have seen really any actual final contract newbuilding orders. It seems the slowest newbuilding year 2006 and 2007 in recent memory so far. The brokers are not very happy, but what can we do.
Spiro Dounis: Fair enough. And then just want to ask you for your updated views on the dividend here, you like to keep it at $0.05 again and understandably, the market didn’t get that much better from last quarter. But just wondering if you could remind us again maybe what you are looking to see whether or not be that expanded charter coverage or if you actually see rates go higher, do you start bringing the dividend back on and just along those lines maybe what that looks like? Do you bring it right back to expense if you paid it in?
Nikolas Tsakos: Well, I think that we are waiting, first of all, for our newbuilding to have the company in full force. I think that will happen by the end of this year, but we will have the whole company that with all 65 vessels performing. And I think that’s the time we are going to be, hopefully, that will coincide as we hope with a very strong market and it is all our intention to be able to make the dividend great again, as Mr. [indiscernible] says.
Spiro Dounis: Very nice. Last one, just you obviously mentioned divesting from your over tonnage just a follow-up on John’s question, two of the avenues mentioned in the release were direct sales and other related structure transactions. Just wondering if you could focus on that second part? What exactly do you mean by that? Is that – are we talking about block deals or are you talking about maybe doing a sale leaseback?
Nikolas Tsakos: We do not exclude sales and leasebacks, if it makes sense. As I said, those are cash cows. They are well depreciated. So – I mean we are looking at all the avenues that are available. So yes, sales and leasebacks are an avenue that we are looking – contemplating.
Spiro Dounis: Got it. And actually I have just one more, I apologize. So you highlighted the drop in OpEx and I am just wondering how should we think about that going forward, is there a lot of juice left to squeeze there if you get that OpEx number lower and to some degree, are you parting the oil price higher, lubrication costs go higher, is there any sort of counter-balance there as we look forward on OpEx? Thanks.
Nikolas Tsakos: Well, we always I think, Paul would answer this. We are always on the case of our technical managers, which are in our case, not very far from where we sit. It’s a couple of floors down. So we can be on the case continuously. But I think with the economies of scale and we are able to control costs, because the worst thing you would like to do is be in a forwarding market and not controlling your costs. In our case, we would rather control our costs and be in a higher market. Paul?
Paul Durham: Of course, there is a stronger result. And we reckon, it will continue to help. I mean at this time, last year and earlier, we were suffering from the high euro against the dollar. That’s turned around. And it’s quite possible that the dollar will strengthen further in the future against the euro. So that’s one off the sleeve, if you like, for keeping costs down. Otherwise, as Nikolas was saying, we think that our technical managers are doing an amazing job in keeping costs down. And as Niko said, it helps kicking their behind from time to time, but it seems to have worked.
Spiro Dounis: Got it. I appreciate the color guys. Thanks again.
Nikolas Tsakos: Thank you.
Operator: Thank you. And your next question comes from Fotis Giannakoulis from Morgan Stanley. Fotis, your line is open.
Fotis Giannakoulis: Yes. Hi, gentlemen and thank you. Niko, a couple of questions, first of all, about your plan or your strategy to build a large industrialized shipping company, I was wondering you mentioned earlier about the fact that the shuttle tanker market is unloved a lot of people they associated it with the offshore sector, so I assume that this might be a sector that you could try to expand even further after the latest newbuilding. And particularly, I want to ask about a potential that you might see in the divestment or the joint venture partner that Teekay Offshore is also looking at, is this something that might be of interest for you?
Nikolas Tsakos: Hi, Fotis. Yes, I will tell you all, this in secret when I see you next week in New York. No. I mean as I said, our aim is to grow our term business with a good – with good partners that we can have, the same goals of running a profitable and safe ship. We are not segment particular, because we allow our – the clients to choose whichever segment they think. I was saying that as you see from the Teekay experience, shuttle tankers are associated with the offshore market and they are not very popular. And that’s why this is a market, of course that we have looked in the past. We will not stop in looking at it. But this is the case. But we are looking at all businesses that provide this industrial flavor. We will finish with the first phase of it within this year. I think what our aim – and as I mentioned before, we have secured 200 years of employment for our vessels combined, which is a quite a formidable – a task to risk. And we are looking to increase on that regardless of if it’s going to be shuttle tankers or highest class vessels or LNG, which of course we will – we are very fond of also.
Fotis Giannakoulis: The reason I have asked is because I know that you like kind of a cyclical investment and seems that other people do not like at any given time, but what I want to understand is if you – I know that you are one of – you are the best operators in this market and you want to operate your assets, I wonder if you would ever considered taking an investment in assets that other people might operate and they have this industrial flavor?
Nikolas Tsakos: The answer is that if the chemistry and – the chemistry with whoever is there, we would know – yes, we would not exclude it. We are there to go – to consider and combine forces, which is very important for us. I think and as an industry, we are fragmented the way we are and with INTERTANKO, we try to make it as less as fragmented as possible.
Fotis Giannakoulis: Thank you, Nik. One more about the new regulations and it seems that they might come into effect in 2020, can you give us as Chairman of INTERTANKO your view if this is going to be implemented or is this a chance that it will take any extension. And second, what kind of implications is going to have both for the industry and also for your growth plans, I want to ask what kind of options your company has and if you would consider LNG fuel vessels, we just read about a new order from [indiscernible], what are the alternatives for the shipowners?
Nikolas Tsakos: Yes. Well, as all are new – all our current phase newbuilding program which we are coming – which is coming to fruition within this year is LNG-capable. So we have made all – we have made the investment, we have made – we have taken all the steps to be able with – and it is more additional investment to run the vessels with gas if we decide so. So that is something that we preemptively asked our design team, our newbuilding department to make sure that that is there for us. As an industry, we are – as an industry, we would be ready and to take over new legislation when the actual fuels are there for us to burden, create this. We would not want to see our ships ending up being mini-refineries. We believe that it’s not the correct. It’s not the role of a ship owner to be a refiner at the same time, unless we get paid for both processes the refining and the transportation part of it. However, if it doesn’t change, there is a silver lining, which it’s not a preferred. But a lot of older ships, anything, which is approaching the third special survey most probably will have to be recycled, which is a polite word going forward, which will create an instability in the market which will be positive. But we would rather not have to reach that scenario.
Fotis Giannakoulis: Thank you. Can you explain, you think that if you it is implemented, you think that the vessels above 15-years-old are becoming obsolete and they are for scrubbing, did I understand well?
Nikolas Tsakos: No. I said mainly vessels that will – do not have because the technological space and the technology to become to – they will have to accept paying very expensive bunkers or accept the scrubber technology. And I think many of those ships or a number of those ships might decide it’s not worth it. It’s in the economics of every company and how well depreciated those assets are.
Fotis Giannakoulis: Thank you very much, Nik.
Operator: Thank you. Your next question comes from Gregory Lewis from Credit Suisse. Gregory your line is open.
Joe Nelson: Good Afternoon. This is Joe Nelson on for Greg. And thanks for taking my question. Just one quick one to start and maybe just a follow-up on some of the others asked, if you think about tanker asset pricing being kind up by neither lows at this point, is there any relative value in your opinion, does anyone particular class or was accrued versus product look more attractive than any other in your opinion?
Nikolas Tsakos: Well, for – we have not invented the right – I would say the right recipe for those. We are client driven. We have – we can turn our product carriers into carrying their dirtier products and include this if it is required. So we are completely client driven in what we do. We have companies out there have found the successful formula and either by only VLCCs, either by suezmaxes or on product carriers. We are diversified, because we follow what our clients require us to do.
Joe Nelson: Okay, thanks. And then just one maybe on the market, ex-production cuts seem to be real and they seem to be impacting the tanker market in the last couple of months, but we have also had a surge in newbuild deliveries and meanwhile, demand for oil still seems pretty healthy, so in your opinion as you think about the pressure in the spot market, is it more from a supply angle, that is to say an over delivery or is it maybe just the fact that there is less oil being moved on the market – on the water say as opposed to the back half of last year?
Nikolas Tsakos: We have not really felt the lack of demand for our services since the beginning of the year. So I think if there are, you might have a couple of more ships, let’s say, calling new deliveries from the old backlog that are coming in from the shipyards in the East that might create – bring the VLCC market down from 60 to 50 or 55. Saudi Arabia, I think they have made it very obvious that they need to export in order to meet their goals. And don’t forget, they have a very, very low breakeven in what they are doing. There is a lot of I think more and more production from the United States. So it has to do more with supplier vessel. So we have not felt that the lack of cargos really in the day-to-day business that we do. And don’t forget, the first quarter, the majority dollars – the majority of the Western world refineries go through maintenance period. And that’s where they cannot import as much crude as they would. So we are expecting this to change in the next couple of quarters also.
Joe Nelson: Thanks Nik. I appreciate the color. Thanks guys.
Operator: There are no further questions at this time, sir. Please do continue.
Nikolas Tsakos: Very good. Well, again, thank you very much for your time happy – enjoy St. Patrick’s Day. And the management of the company is going to be at the Capital Link and various other events next week and looking forward to meet many of you face-to-face and continue the exciting dialogue. Thank you very much.
Operator: Thank you, ladies and gentlemen. That does conclude your conference for today. Thank you all for participating. You may all disconnect.